Operator: Good day, ladies and gentlemen, and welcome to the ASUR’s Second Quarter 2012 Results Conference Call. My name is Shanel and I’ll be your operator for today. At this time, all participants are in a listen-only mode. We will conduct a question-and-answer session towards the end of this conference. For opening remarks and introductions, I’d like to turn this call over to Mr. Adolfo Castro, Chief Executive Officer. Please proceed.
Adolfo Castro Rivas: Thank you, Shanel, and good morning, everybody. Thank you for joining us today for the conference call for our second quarter 2012 results. Allow me to remind you that certain statements made during the course of our discussion today may constitute forward-looking statements, which are based on current management expectations and beliefs and are subject to a number of risks and uncertainties that could cause actual results to differ materially, including those that may be beyond our company’s control. For an explanation of these risks, please refer to our filings with the Securities and Exchange Commission and the Mexican Stock Exchange. I’ll start today’s call by briefly discussing the San Juan, Puerto Rico International Airport bid and afterwards I’ll provide a review of the results for the quarter. As announced last Thursday, Aerostar Airport Holdings, our 50/50 partnership with Highstar Capital won the bid to become the private operators of the Luis Munoz Marin International Airport in San Juan, Puerto Rico. As a result, Aerostar will enter into a 40-year long-term lease agreement with the Puerto Rico Ports Authority. This entails an upfront payment of approximately $615 million. This payment is expected to be funded by a mix of financing and equity contributions on a 50-50 basis from Highstar Capital and ASUR. The closing of the transaction remains subject to a number of conditions including the award of a Part 139 operating certificate by the Federal Aviation Authority. We expect this could take approximately 180 days. However, this is the first Airport to be privatized by the FAA and there is no track record. As a result of this and due to the confidentiality issues, there is limited information we can provide until the lease is closed. However, keep in mind that while LMM handles 8.5 million passengers per year compared with almost 18 million passengers served as ASUR during 2011. LMM Airport is in a similar situation to what Cancun was 12 years ago. At the same time, airport regulations are different from those in Mexico and as a result economics are not the same. So although, we see a lot of potential in this airport and we are enthusiastic to have won the concession, there is a lot work ahead to us to bring element to the standards we have achieved at Cancun today. For the moment in relation with San Juan, Puerto Rico, this is the information that I can share with you. Moving on to the results, this was a very good quarter. Passenger traffic was up by 74.4% year-on-year inline with our expectations, growth was mainly driven by a 15% rise in domestic traffic while reached 2.15 million passenger this quarter about 1.8 million passengers in the first quarter of this year and the highest quarter following the peak of 2.11 million achieved in the third quarter of 2011. Domestic traffic was particularly strong at Cancun, Cozumel, Minatitlan, Huatulco and Villahermosa. Again domestic traffic at Cancun for the last two months continued to be at historical peak reaching 4.1 million passengers. This trend of new historical records in Cancun has been observed each month of the year. The smaller airports, however, still reflect the impact of lack of domestic airline fleet capacity. International traffic was up by 1.8% to 2.59 million passengers although reaching the record of 2.63 million passengers observed in the second quarter of 2008. The share of the international passenger traffic however fell to 55% of total traffic from the 58% in the second quarter 2011. Passenger traffic between Mexico, Canada and the United States, represented 92.1% of the total traffic compared with the 89.4% a year ago. Consolidated revenues were up by 16.5% in the quarter, driven by a revenue growth all across all activities. Excluding construction services, total revenue would have increased 15.4%. Commercial revenues per passenger rose to 75.05 pesos, another record high, and we remained focused on maximizing commercial revenue opportunities. Operating cost and expenses rose 11.9% year-on-year mainly due to the higher construction costs and cost of services. Excluding construction costs, operating costs will have only risen by 7.9%. Higher cost of sales from the increase in revenues at our direct commercial operations, energy costs and expenses in connection with our participation in international bidding process drove the increase in costs. Costs also include fees from the bond required in the appeal of a decision of returning the tax rate at Cancun for the years 2006 and 2007. EBITDA was up by19% this quarter, with an EBITDA margin up by 120 basis points year-on-year to 58.02%. We made investments of 130.54 million pesos this quarter as we continue with the terminal expansion in Huatulco, Merida, Oaxaca, Veracruz and Villahermosa airports. Finally, we closed the quarter with a strong balance sheet with cash and cash equivalents up 1.6 billion pesos and bank debt of 511 million pesos. Now, let me open the floor for questions. Please Shanel, go ahead.
Operator: (Operator Instructions) And our first question comes from Eduardo Couto, Goldman Sachs.
Eduardo Siffert Couto – Goldman Sachs: Hi, good morning, Adolfo, and thanks for the call. Adolfo, I know that as you said, there is limited information that you can share with us about the Puerto Rico airport, but just trying to understand a little bit of the concessions model there, is it like a dual-till model as we’ve in Mexico and other countries or it’s like a single-till, just to try, to understand how the concessions going to be if there will be like aeronautical revenues and non-aeronautical revenues? If you could also give us a little bit of color regarding the timing for the payment, now there is this – around $600 million in payment, if that payment would only happen after this 180 days that you mentioned, that will be the timing for the conclusion of the transaction? And also if there is any big short-term investment that needs to be done once you get the concession? Just for us to understand a little bit better what sort of concession you may have in Puerto Rico? That’s my first question.
Adolfo Castro Rivas: Okay, Eduardo, basically you will have to wait until we sign the lease agreement, but it has not been signed. It was just the announcement made by the (inaudible) last Thursday, so you’ll have to wait. The only thing that I can share with you is, yes, it is a dual-till system.
Eduardo Siffert Couto – Goldman Sachs: Okay, okay. But in terms of – as you said of the operating numbers, any thing we have to – even just to say if, like the revenues per passenger or anything like that, if this is too different from – you mentioned its somehow similar to what you had in Cancun in the past, but you cannot give any info regarding the revenues per passenger or anything like that?
Adolfo Castro Rivas: Yeah, not for the moment. Once we sign this agreement then we’ll be able to share more information with you.
Eduardo Siffert Couto – Goldman Sachs: Okay. And the time for the payment is only after the agreement is signed right?
Adolfo Castro Rivas: It’s after the certificate is finished.
Eduardo Siffert Couto – Goldman Sachs: Okay. Thank you. That’s it.
Adolfo Castro Rivas: Thank you.
Operator: Our next question comes from Nicolai Sebrell, Morgan Stanley.
Nicolai Sebrell – Morgan Stanley: Hi, Adolfo, it’s Nick Sebrell. Two questions, if you could start out with international versus domestic traffic, it’s been kind of a surprise to some of us that international has been a lot weaker than domestic, that’s really – the last couple of quarters have been domestic driven, if I’m not mistaken. Do you have any visibility or explanation or can you help us with what we’d expect in the second half and in the next peak season from international. Do you expect it to continue to be weak or might there be a change there? And then the second one on Puerto Rico nothing specific on the concession or anything, it’s obviously a very similar asset, the Cancun is much as being a larger destination I think. Do you see possibility of cannibalization, question number one. And then two, how do you think are comparing contrast to with Cancun, I know American Airlines try to turn it into a hub once, they have that possibility as may be hub city? Thanks.
Adolfo Castro Rivas: Nick, hi good morning. International class versus domestic, well domestic is, it’s basically moving really fast as you can see in the numbers and what I can see is that they are filling the spaces that have been left by the U.S. traffic. The U.S. traffic is the one that is weak, it’s not the whole international traffic, it’s just the U.S. traffic. I hope that in the rest of the year this could be better but for the moment that’s what we are seeing a weak U.S. and the rest of the regions are very strong. In terms of Cancun and your comments about recent traffic, I think these are two different markets and even overall within the same region I think are not the same. There is a lot of things to do right now here, and with promotion and there is a lot of work that we will need to do with a lot (inaudible) this year, also with the cruise ship as with the hosting at (inaudible). In terms of Cancun, I think this part of the Caribbean needs a lot of money from hotel owners and it needs to be rephrased as a destination. In terms of American Airlines, it was a home for the Caribbean region basically for the smaller islands. But this has been different over the last two years, they basically pull out from these operations and that’s why this airport came from 10.5 million to say 8.5 million passengers a year. For the moment the strong airline this year is basically Jet (inaudible), India. I don’t know if these answers your questions.
Nicolai Sebrell – Morgan Stanley: Okay, so could it still be possibly that you have a hub, maybe by another airline if not. In fact it was more of a general question because American Airline is going to bankruptcy, I think it’s not really clear what they’re going to look like after that. And before was American Airlines will still be way I think, fighting back (inaudible) or something. So and I just wonder how much of the try and then decide not to do it was because of lack of commitment from the airport and how much was – there is just not enough demand or whatever that was, a sort of the thought?
Adolfo Castro Rivas: For the quarter, this was the decision that has been taken by American Airlines basically they moved most of its operation to Miami.
Nicolai Sebrell – Morgan Stanley: Yeah, okay that makes sense. And you said that, your season was different, you see them as different because one is – in the U.S. what you call it a territory or is it because it’s kind of leisure or is one not really leisured?
Adolfo Castro Rivas: Firstly, you have a lot of traffic from people and its coming back towards, let’s say so people that is coming is it related to the their parents or their family. I believe in the U.S., there is leisure – there is a lot of stuff like this and of course there is a portion that is leisure, but it’s not as you’re thinking.
Nicolai Sebrell – Morgan Stanley: Okay, that’s clear. Thank you.
Adolfo Castro Rivas: Thank you.
Operator: Our next question comes from Vanesa Quiroga, Credit Suisse.
Vanesa Quiroga -- Credit Suisse: Good morning. I was wondering if you could provide any color regarding bad debt that currently the authority that operates Puerto Rico airport and San Juan airport has and is that will be assumed by ASUR?
Adolfo Castro Rivas: No, Vanesa. This is completely independent operation, what we are going to do, well not we, I guess that will pay the government and then they will use a portion of these amount to pay its own debt.
Vanesa Quiroga -- Credit Suisse: Okay, okay. So the airport will be observed by the joint venture company free of debt?
Adolfo Castro Rivas: No, no, no this is (inaudible) new company and we are not…
Vanesa Quiroga -- Credit Suisse: Yes.
Adolfo Castro Rivas: …just buying shares, we are basically going to sign a long-term lease agreement.
Vanesa Quiroga -- Credit Suisse: Okay, okay, okay, great. And will you be able to leverage based on I mean will that company, will the new company be able to include debt?
Adolfo Castro Rivas: Yes.
Vanesa Quiroga -- Credit Suisse: Okay, okay, excellent. And regarding the regulation, I will also – is there any guideline on whether there will be a similar structure as there is in Mexico where there is a formula based on CapEx and OpEx for determining that one?
Adolfo Castro Rivas: No, it’s not, I will recommend you to wait until we can disclose that information.
Vanesa Quiroga -- Credit Suisse: Okay, okay.
Adolfo Castro Rivas: You will not have to wait too much time, but you will have to wait.
Vanesa Quiroga -- Credit Suisse: Adolfo, that’s good to know. Thanks, thanks, Adolfo.
Operator: Our next question comes from Pablo Abraham of BBVA.
Pablo Abraham Peregrina – Casa de Bolsa BBVA Bancomer SA de CV: Hello Adolfo, good morning. Thanks for the call. Could you give us some color about the traffic trends for the medium and the long-term specifically in the following years? And second question is regarding the, what the business you have with other (inaudible) company is there any project in mind or something like that? Thank you.
Adolfo Castro Rivas: In terms of the traffic, you know that we don’t give it. We don’t give guidance, but the only thing that I can say to you is that, for the moment all the regions are very strong and with exception of the U.S. traffic. In the case of the domestic, I see this will, this growth will continue as soon as the airlines that are remaining in the country can receive more planes and open or expand their capacity. In terms of ADR, the business is as it was before. According to the company, nothing has changed, they continue working in three of our airports with normal operations, nothing has changed at all.
Pablo Abraham Peregrina – Casa de Bolsa BBVA Bancomer SA de CV: Thank you very much.
Adolfo Castro Rivas: You’re welcome.
Operator: Our next question comes from Eugenio Amador, Credit Suisse.
Eugenio Amador – Credit Suisse: Adolfo, thank you very much for the call this morning and congratulations on the Puerto Rico announcement. We have two questions and we understand the limited information at this point. But wanted to know after the 180 base when do you estimate that – how much time after that will it take for ASUR to take control of the asset together with their associate? And second, do you view that the dividend distribution that has been kept in ASUR currently will be able to be matched in the new project?
Adolfo Castro Rivas: Okay, in terms of the 180 base that’s what we’re estimating. It is not, it could be less, could be more. It’s hard to say, as I have mentioned during the initial remarks, there is no track record on these, this is going to be the first one. So, it would less, it could be more. After that it’s going to, we’re going to work in a transition plan with the Puerto Rican authorities in terms of taking over the airport. In terms of the dividend payments, as I said many times we cannot, we do not want to – we do not intend to fund this with as soon as resources we intend to fund our equity participations here with that. So I hope that this will not have any impact on dividends.
Eugenio Amador – Credit Suisse: Thank you.
Adolfo Castro Rivas: You’re welcome.
Operator: Our next question comes from the line of Stephen Trent, Citi.
Stephen Trent – Citigroup Global Markets Inc.: Hi, good morning Adolfo. Two questions from me, the first step to an extent is a follow-up to Nick Sebrell’s question. Looking at San Juan currently you mentioned that it kind of have the low cents smells like Cancun did 12 years ago, would you say it’s fair to assume that San Juan versus Cancun is more VFR traffic flow kind of visiting friends and relatives traffic as opposed to tourism traffic and the opportunity is to potentially boost tourism, is that a fair assessment?
Adolfo Castro Rivas: Yes and also when I was comparing these two situations, I was more inclining in the case of the commercial revenues as well.
Stephen Trent – Citigroup Global Markets Inc.: Perfect, great, great, great. And just one other thing Adolfo and excuse me, just one other question as we move through time we are I guess coming up to the point where ASUR will be kind of taking a look at the next five year plan review, is it your sense kind of and I know, you don’t give guidance on traffic, but is it your sense looking ahead and looking at Mexican Airline fleet plans that we could perhaps see borrowing the one foreseeing market shocks relatively steady domestic traffic growth or at least modest domestic traffic growth over the next five years, and that maybe could positively impact your MDP?
Adolfo Castro Rivas: Well, I’d say for the moment what we can foresee, it’s a modest growth of course, if the situation changes and air traffic fares changes that there is a huge potential in the domestic market and we’ve seen that during 2007, 2008. So, I hope that in the future the situation in Mexico will change and we’ll be able to take all of this potential. For the moment, what I can say to you is that what we believe is a moderate growth.
Stephen Trent – Citigroup Global Markets Inc.: Thank you, Adolfo. And I apologize, just one more quick follow-up related to the second question. What’s your view as to the possibility of the SAT establishing a new airport in the Mexico City area in the next five years?
Adolfo Castro Rivas: Well tough question. You know that this airport has – is something that we as a country should decided probably 25 years ago, we’ve been waiting. It’s very urgent that we solve this issue the Mexico City Airport cannot longer too much for the future. So, this is the time because if the new President is Peña Nieto, we think he is going to be. He will be able to take decision because he is coming from the State of Mexico that was one of the location, the future locations that the previous governments were looking for. So, yes, I see that possibility.
Operator: Our next question comes from (inaudible).
Unidentified Analyst: Thank you. Good morning Adolfo. Good morning everyone. Just a quick follow-up and I open up to apparently with the Puerto Rico issue. Just talking about your long-term strategy then you said that the strategic upside in Puerto Rico lies in exploiting the truth or having more truth flying to San Juan. Out of this airport in a long run complement your portfolio because it seems that you are getting to – you are expecting to get quite relying on tourism?
Adolfo Castro Rivas: Well that’s one of the key elements and the other one is of course the increase in commercial revenue and increasing the standard at the airports. Apart from probably cost reduction or a more efficient airport, I’d say these are the key elements that will drive the growth here in somewhat.
Unidentified Analyst: Okay. So in other words you’d be willing to…
Adolfo Castro Rivas: More passengers, more commercial revenues with passenger.
Unidentified Analyst: Perfect.
Adolfo Castro Rivas: And more efficient airport.
Unidentified Analyst: Okay. That was just about it. Thank you.
Adolfo Castro Rivas: Okay.
Operator: Our next question comes from the line of Gordon Lee, BTG Pactual.
Gordon Lee – BTG Pactual US Capital LLC: Hi, good morning, Adolfo. Just a couple of questions one of which might have been asked and I apologize if it has been. The first is just and obviously this revolves on Puerto Rico is whether the funding the debt that you intend to take to make the equity contribution will that be taken by a sort at the holding level or will it be taken by one of the operating companies, one of the airports IEEE Cancun? The second question is whether you would expect ASUR to obtain some sort of management fee from Aerostar presumably ASUR will be managing the airport. And the third question and this is the one that might have asked and again apologies, is if you expect ASUR’s dividend policy to be maintained after this transaction is completed. Thank you.
Adolfo Castro Rivas: In the case of that, that can be taken by Cancun airport, for the moment we cannot answer the second question about management fee. And in terms of ASUR’s dividend policy Gordon that we do not have a rate to dividend policy and basically what we do is to review this every year, but our intention is basically to form those – our level of equity participation here in San Juan with debt.
Gordon Lee – BTG Pactual US Capital LLC: Perfect. Thanks very much.
Adolfo Castro Rivas: You’re welcome.
Operator: Our next question comes from Neal Dihora from Morningstar.
Neal Dihora – Morningstar: Great. Thanks. I was just wondering if you already been asked to commit to certain capital expenditures that airport including the 615 million anything additional to that?
Adolfo Castro Rivas: Sorry.
Neal Dihora – Morningstar: Have you already part of this agreement for the Luis Munoz airport have you already been asked to do more capital expenditures over the last for the at least above in addition from the 615 million?
Adolfo Castro Rivas: Well you know that the 615 million is what we have to pay to the government and then of course we have to do some we will have to spend some capital yes.
Neal Dihora – Morningstar: Do you guys have a number I mean I guess have seen like 4 billion?
Adolfo Castro Rivas: 4 billion.
Neal Dihora – Morningstar: Thrown out there and some press release from the airport operator?
Adolfo Castro Rivas: I cannot give you a number for the moment.
Neal Dihora – Morningstar: Okay, thanks.
Adolfo Castro Rivas: You’re welcome.
Operator:
(:
Unidentified Analyst: Thanks for taking my follow up. Adolfo, I read the list of statement from Puerto Rico necessarily that so that you had to – of the investment plan you had to spend like little bit below 200 million over the first three years of the concession in CapEx was that is that right?
Adolfo Castro Rivas: Well I cannot – again I cannot share that information with you for the moment. The only thing that I can say is the commitment we have is not in dollars it’s in comforts.
Unidentified Analyst: I’m sorry, I didn’t get that.
Adolfo Castro Rivas: Okay, so let’s say that I have to fix the air conditioner, so I have to provide Wi-Fi services that I need to fix the roof blah, blah, blah so to change the passenger reach us. So it’s not an amount.
Unidentified Analyst: Okay it’s more like projects.
Adolfo Castro Rivas: Exactly.
Unidentified Analyst: Okay. Thank you.
Adolfo Castro Rivas: You’re welcome.
Operator: (Operator Instructions) Our next question comes from Vivian Salomon of Itau.
Vivian Salomon – Itaú Corretora de Valores S.A.: Hi Adolfo, can you hear me?
Adolfo Castro Rivas: Yes, perfect.
Vivian Salomon – Itaú Corretora de Valores S.A.: Thank you. Just I wanted – do you have an update regarding the tax issue and you mentioned on the last conference call about the case that Cancun Airport has to pay dividend? Do you have any and because you were not paying corporate tax, do you have any update on this and regarding the legal issue about the other two airports?
Adolfo Castro Rivas: Well, what I can say to you is that these kinds of matters or these kinds of trials lasts for two to three years. So for the moment nothing has changed and that’s why I have not included any information in the earnings release now in the conference, so I won’t say something about the stats.
Vivian Salomon – Itaú Corretora de Valores S.A.: Okay, great. Thank you, Adolfo.
Adolfo Castro Rivas: You’re welcome.
Operator: And at this time there are no further questions. And I’d now like to turn the call back over to Mr. Adolfo Castro.
Adolfo Castro Rivas: Thank you, Shanel. Thank you for everybody for joining us today in our conference call for the second quarter of 2012. And as always do not hesitate to contact me if you have any further questions and have a great day. Thank you, bye.
Operator: Ladies and gentlemen that concludes the presentation. Thank you for your participation. You may now disconnect. Have a great day.